Operator: Good day, and thank you for standing by. Welcome to the John B. Sanfilippo & Son, Inc. First Quarter Fiscal 2026 Operating Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to your speaker for today, Jeffrey Sanfilippo, Chief Executive Officer. Please go ahead.
Jeffrey Sanfilippo: Good morning, everyone, and welcome to our 2026 first quarter earnings conference call. Thank you for joining us. On the call with me today is Frank Pellegrino, our CFO; and Jasper Sanfilippo, our COO. We may make some forward-looking statements today. These statements are based on our current expectations and may involve certain risks and uncertainties. The factors that could negatively impact results are explained in the various SEC filings that we have made, including Forms 10-K and 10-Q. We encourage you to refer to the filings to learn more about these risks and uncertainties that are inherent in our business. We began the fiscal year with strong momentum, continuing to execute our Long-Range Plan with discipline and focus. In this quarter, we delivered a 59% improvement in diluted earnings per share, underscoring the strength of our strategy, improvements in our commercial ingredients and contract manufacturing businesses and our relentless focus on generating operational efficiencies throughout our organization. We have seen directional improvements in sales volume over the past 3 quarters, signaling progress in stabilizing our overall demand. These results were achieved in a challenging snack food environment as consumer behavior continues to evolve in response to broader macroeconomic shifts. Our achievements reflect the hard work and commitment of our employees whose contributions remain vital to our continued success. Yesterday, the company's Board of Directors approved a special cash dividend of $1 per share on all issued and outstanding shares of common stock of the company and $1 per share on all issued and outstanding shares of Class A common stock. The special dividend will return approximately $11.7 million to company stockholders and will be paid on December 30, 2025, to stockholders of record as of the close of business on December 1, 2025. Our financial performance over the last several quarters provided us the opportunity to declare the special dividend, which reinforces our goal of creating long-term stockholder value through the responsible use of cash. The special dividend would not be possible without the hard work and dedication of all JBSS team members during our busy holiday season. Price inflation and consumer sentiment is a challenge for the snack category today across many food segments. We faced significant nut commodity cost increases over the past year in addition to high prices for cocoa. Our teams have worked hard to mitigate price increases and offered our customers several options to manage costs, which included pack size changes, formula adjustments and alternative ingredient considerations. Some retailers were proactive and made changes to their portfolio. Our teams also worked hard to drive additional costs out of our operations and supply chain and manage our inventory levels. Demand planning becomes challenging when consumer behavior changes and markets become volatile. So we are prioritizing resources to work with our key retail partners on better forecasting and order planning. For example, we experienced a soft back-to-school period for the snack bar category in our first quarter. Our insights team and sales and marketing are working with our customers to understand the dynamics of the bar category and adjusting promotional and volume plans based on current trends to manage inventory levels and future production schedules. This time last year, the company's profitability was impacted by a onetime concession to a snack bar customer due to capacity constraints and service levels. We overcame those constraints and our service levels this quarter exceeded expectations. We have systems in place now to mitigate supply risk for high peak consumption periods. It is the busy season for our nut and trail mix business. Our sales, marketing and operations teams have done a great job building our business for the upcoming holiday season. We are in full swing with shipments to customers. On our call last year, I mentioned we expanded our manufacturing footprint by leasing a 446,000 square foot facility in Huntley, Illinois. This investment provided the company with additional space in our Elgin facility to install new production lines for our snack and protein bar business. The new lines create extraordinary opportunities to innovate our bar platform and enter new snack, energy and protein bar segments. Installation is in progress, and we are on schedule to begin manufacturing by the end of this fiscal year. As we have shared on previous calls, the inflationary environment has changed consumer behavior, and we have seen them shift to more value-focused retailers such as club stores. Our teams have worked hard to expand our retail distribution in club and alternative channels with innovative products and pack sizes. Our OVH brand has gained several rotations at a key club retailer and the rollout of some of our new OVH snack items is gaining traction with retailers across the country. I'm so proud of our R&D team for creating amazing innovative snack products and building a pipeline for future growth and a call out to our sales teams for building collaborative partnerships with several grocery retailers. Many other food company CEOs have shared on their management calls one of our important priorities is to stay relevant with Gen Z and mainstream consumers. JBSS is doing this by delivering product and portfolio innovation paired with strong value. Our marketing insights team is tracking purchasing trends, price point elasticity, new product launches and consumer sentiment and behavior. These insights guide our innovation pipeline, category management recommendations and our branded advertising expenditures as we've shifted our investments to more digital marketing. I'll now turn the call over to Frank Pellegrino, our CFO, to provide additional information on our financial performance for our first fiscal quarter.
Frank Pellegrino: Thank you, Jeffrey. Starting with the income statement. Net sales for the first quarter of fiscal 2026 increased by 8.1% to $298.7 million compared to net sales of $276.2 million for the first quarter of fiscal 2025. The increase in net sales was due to an 8.9% increase in weighted average sales price per pound which was partially offset by a 0.7% decline in sales volume, which is defined as pounds sold to customers. The increase in the weighted average sales price primarily resulted from significantly higher commodity acquisition costs across all major tree nuts. Sales volume declined across all major product types, except for peanuts, walnuts and pecans, all of which experienced volume growth in the quarter. Sales volume decreased 5.1% in the consumer distribution channel, primarily due to a 3.2% decrease in private brand sales volume. Approximately half of the decrease was due to the discontinuation of peanut butter at a mass merchandiser. The remaining private brand sales volume decrease was nearly evenly split between nut and trail mix and bars. Nut and trail mix sales volume was negatively impacted by higher retail prices and reduced promotional activity, which was partially offset by new business and expanded distribution with 3 existing customers. Bar sales volume declined due to our strategic decision to reduce sales to one grocery retailer and lost distribution to another, which was partially offset by growth at a mass merchandiser and a current customer. Lost distribution of Orchard Valley Harvest at a major customer in the nonfood sector also contributed to the overall decline in the consumer distribution channel. Sales volume increased 12.8% in the commercial ingredients distribution channel, mainly driven by new business with 2 customers, increased peanut bar volume at existing foodservice customers and increased sales of peanut crushing stock to peanut oil processors. Sales volume increased 18.4% in the contract manufacturing distribution channel, primarily due to increased granola sales volume and increased snack nut sales to another customer added during the second quarter of the prior year. These increases were partially offset by lower peanut and peanut butter sales volume to a major customer. Gross profit increased by $7.6 million or 16.2% to $54.1 million compared to the first quarter of last year, driven by higher net sales during the quarter with selling prices more closely aligned with commodity acquisition costs compared to the first quarter of the prior year. Additionally, the prior year first quarter included a onetime price concession to a bar customer that did not recur this quarter. Gross profit margin increased to 18.1% of net sales compared to 16.9% for the first quarter of fiscal 2025 due to the reasons previously mentioned. Total operating expenses for first quarter decreased $2.5 million compared to the first quarter of the prior year, primarily driven by lower marketing and insight spending, reduced third-party warehouse costs, lower third-party recruitment expenses and decreased freight costs. These decreases were partially offset by an increase in incentive compensation expense. Total operating expenses as a percentage of net sales for the first quarter of fiscal 2026 decreased to 9.1% from 10.7% in the prior comparable quarter due to the reasons previously mentioned and a higher net sales base. Interest expense was $1 million for the first quarter of fiscal 2026 compared to $500,000 for the first quarter of fiscal 2025 due to higher average debt levels. Net income for the first quarter of fiscal 2026 was $18.7 million or $1.59 per diluted share compared to $11.7 million or $1 per diluted share for the first quarter of fiscal 2025. Now taking a look at inventory. The total value of inventories on hand at the end of the current first quarter increased $40.2 million or 20.6% compared to total value of inventories on hand at the end of the prior year comparable quarter. The increase was due to higher commodity acquisition costs across all major tree nuts as well as greater on-hand quantities of finished goods due to lower than forecasted back-to-school demand for bars and preparation for anticipated holiday seasonal demand. The weighted average cost per pound of raw nut and dry fruit increased 24.8% year-over-year, mainly due to higher commodity acquisition costs for all major tree nuts. Please refer to our Form 10-Q, which was filed yesterday for additional details regarding our financial performance for the first quarter of fiscal 2026. Before I turn the call over to Jeffrey, please note that we will be presenting at the Southwest IDEAS Conference in Dallas on November 19. Now I will turn the call over to Jeffrey to discuss category trends.
Jeffrey Sanfilippo: Thanks, Frank, for the financial updates. Success requires smart strategies and the right business model for sustainable growth. It also requires a talented and committed group of leaders across the organization. We have all those elements of success here at JBSS. I'll now share some category and brand results with you for the quarter. All the market information I'll be referring to is Circana panel data and for today, it is for the period ending September 28, 2025. When I refer to Q1, I'm referring to 13 weeks of the quarter ending September 28, 2025. References to changes in volume are versus the corresponding period 1 year ago. For pricing commentary, we are using Circana MULO+ scan data, and we're referring to average price per pound. We are using the nut trail mix and bar syndicated views of the category as defined by Circana. In the first quarter, we continued to see modest growth in the broader snack aisle as defined by Circana. Volume and dollars were up 2% and 5%, respectively. This is consistent with the performance we saw last quarter. In Q1, the snack nut and trail mix category was down 3% in pounds, which is a decline from last quarter. Dollars in Q1 were up 5%, which is consistent with Q4 performance. Price increases drove the dollar growth. Snack nut prices rose 8% with increases across all nut types. The prices for trail mixes rose 6%. Fisher snack nut and trail mix performed worse than the category with pound shipments down 6%. This was due primarily to some lost distribution and less promotional activity. Our Southern Style Nuts brand pound shipments decreased by 7%, driven by some reduction in distribution at a national club retailer. Orchard Valley Harvest brand, which primarily plays in trail mix was down 44% in pound shipments, driven by discontinuation at a national specialty retailer. Commodity increases, including cocoa and some tree nuts are resulting in higher prices for Orchard Valley Harvest. We continue to focus on innovation and renovation opportunities to mitigate this commodity pressure. Our private label consumer snack and trail shipments performed slightly weaker than the category with pound shipments down 4% versus last year due to softness in mass as prices rise due to commodity pressures. We're actively working on cost mitigation solutions with our retail partners. Now turning to recipe nut category. In Q1, the recipe category was down 2% in pounds and up 19% in dollars, which is similar to Q4's performance. The recipe category experienced a 21% price increase, driven particularly by walnuts, although all nut types have experienced price increases. Our Fisher recipe pound shipments were down 6% in Q1 with volume softness tied to significantly increased costs of our commodities. In closing, as we look ahead, we will continue to build on the momentum we have generated in this quarter by staying focused on 3 key priorities: growing our sales volume, delivering best-in-class service and value to our customers and driving ongoing improvements in profitability. These efforts are foundational to our strategy and will enable us to deliver long-term value to our shareholders. Looking forward, other priorities continue to be optimizing commodity acquisition costs and selling price alignment, drive category growth for snack and trail mix and increase our snack and nutrition bar distribution and identify additional operational efficiencies. No doubt, we are facing ongoing headwinds with shifts in consumer behavior, impacts of tariffs and commodity inflation. Despite these headwinds, I'm confident we have the people, the processes, the brands, the expertise and the financial strength to be agile and successfully navigate our company through these volatile times to grow our business. I'd like to thank our amazing and hard-working team for their dedication. All of us have a steadfast commitment to develop business plans to create shareholder value and provide relevant, profitable, value-added products and services to our customers and consumers. Our mission is to provide great-tasting, innovative products that bring joy, nourish people and protect the planet. We appreciate your participation in the call, and thank you for your interest in our company. We will now open the call to questions. Liza, please queue up the first question.
Operator: [Operator Instructions] And our first question will be coming from the line of Hamed Khorsand of BWS Financial.
Hamed Khorsand: So talking about the snack bar business, the decline you saw, is that because of consumer behavior or because of the customer, the mass merchants and retailers and so forth?
Jeffrey Sanfilippo: So, thanks for the question. So it really was driven by consumer behavior. So we had a great overall strong back-to-school volume, but we did see some declines in one of the key bar segments, which was fruit and grain that we didn't anticipate. But overall, consumption for the bar category was strong. We had General Mills who came back online with their Quaker Chewy Granola Bars, which did not -- were not in the market last year or in smaller portions of the market due to their previous recall. So they were back in full force this period -- this year. But in addition to that, we did see strong growth with our private brand bar category.
Hamed Khorsand: Okay. And as far as the dividend is concerned, are you expected to just pay that out of cash flow? Or so this coming quarter is going to be high in cash flow? Or are you going to be going into debt for it?
Frank Pellegrino: It will be mainly from our cash flow.
Hamed Khorsand: Okay. And finally, you were talking about some increase in demand in certain nuts. Is that coming from just the consumer preferring because they're cheaper alternatives versus the other nut categories?
Jeffrey Sanfilippo: Typically, we would see -- if you have price inflation, you'll see a shift from higher cost nuts, for example, cashews or deluxe mixed nuts to something of a cheaper trail mix or peanuts. We've seen a little bit of that shift this year with the kind of macro environment. But we also did see some consumers leaving the snack nut category because of the higher per pound prices versus other cheaper snack alternatives like potato chips, for example. The good news is, overall, the total snack category, we're seeing it stabilize. We're getting away from some of the declines that we saw in the overall snack category. So we're hopeful that we'll get some of those consumers back into the snack nut category as well.
Operator: [Operator Instructions] At this time, I'm not seeing any further questions. And I would like to turn the call over to Jeffrey Sanfilippo, Chief Executive Officer, for closing remarks. Please go ahead.
Jeffrey Sanfilippo: I want to thank everyone for your interest in JBSS. This concludes the call for our first quarter of fiscal 2026 operating results. Have a great Halloween weekend.
Operator: This does conclude today's program. You may all disconnect.